Operator: Ladies and gentlemen, thank you for standing by. My name is Brent and I will be your conference operator today. At this time, I would like to welcome everyone to the Lightspeed third quarter 2023 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you.  It's now my pleasure to turn today's call over to Gus Papageorgiou, Head of Investor Relations. Please go ahead.
Gus Papageorgiou: Thank you, operator. And good morning, everyone. Welcome to Lightspeed's fiscal Q3 2023 conference call.  Joining me today are JP Chauvet, Lightspeed's Chief Executive Officer; Brandon Nussey, Lightspeed's Chief Operating Officer; and Asha Bakshani, our Chief Financial Officer. After prepared remarks, we will open it up for your questions. We will make forward-looking statements on our call today that are subject to risks and uncertainties that could cause actual results to differ materially from those projected. Certain material factors and assumptions were applied in respect of conclusions, forecasts and projections contained in these statements. We undertake no obligation to update these statements, except as required by law. You should carefully review these factors, assumptions, risks, and uncertainties in our earnings press release issued earlier today, our third quarter 2023 results presentation available on our website, as well as in our filings with US and Canadian securities regulators. Also, our commentary today will include adjusted financial measures, which are non-IFRS measures and ratios. These should be considered as a supplement to, and not a substitute for, IFRS financial measures. Reconciliations between the two can be found in our earnings press release, which is available on our website, on sedar.com and on the SEC's EDGAR system. And finally note that because we report in US dollars, all amounts discussed today are in US dollars unless otherwise indicated. With that, I will now turn the call over to JP.
Jean Paul Chauvet: Thank you, Gus. And welcome, everyone. Thank you for joining us this morning. Lightspeed reported another strong quarter today. Our adjusted EBITDA loss of $5.4 million came in better than our expected loss of $9 million. Our revenue of $189 million came in at a higher end of our outlook range of $185 million to $190 million. GTV grew 75%, much higher than our GTV growth of 10%. And on a constant currency basis, GTV grew 17%.  I believe our results today reflect Lightspeed's commitment to profitable growth. Part of that commitment is a deliberate effort to pursue larger, more profitable customers. Although customer locations were flat from the previous quarter, we continue to shift towards higher GTV locations.  Excluding certain locations, as highlighted in our disclosures, customer locations with over $500,000 in annualized GTV grew by 15% over the same quarter last year and now represent 32% of total locations, up from 29% in the same quarter last year.  Customer locations with over $1 million in annualized GTV were our fastest growing cohort, both year-over-year and from the previous quarter, and were up 19% year-over-year.  In this quarter, we signed several multi locations in marquee customers, all with our latest flagship offering, including Soletrader, a British shoe retailer that operates 28 locations across the UK adopted our latest Lightspeed retail offering along with Payments; CASETiFY, one of the fastest growing tech accessory brands reaching one in seven millennials chose Lightspeed Retail with payments to power their first Australian flagship store; three Michelin star restaurant, Le Petit Nice, located in [indiscernible], will be adopting Lightspeed' Restaurant and Payments; Moët Hennessy will be using Lightspeed Restaurants in its rollout of one of its initial restaurant projects; The Sky-Line Club, a Chicago fine dining institution delivering world class cuisine since 1926, will adopt Lightspeed Restaurants along with analytics and payments; in our B2B network, we were happy to add Santoni, the high end handmade Italian shoe brand, as well as Gerber child's wear.  Earlier this fiscal year, I laid out three priorities for Lightspeed which were, one, to finish the integration of our acquisitions into two core platforms and one company, an effort we referred to as One Lightspeed; two, expand payments across our global customer base; and three, position the company to reach profitability.  Two weeks ago, we announced the reorganization that included eliminating approximately 10% of our headcount. The main catalyst for this reorganization was the near completion of our One Lightspeed initiative. As we focused on two flagship offerings, it was always our intention that this initiative would unlock considerable savings for the company.  I believe our new structure gives more accountability and authority to our existing senior management team, while at the same time, removing costs and complexity from the organization. Approximately 50% of the cost reduction will come from management roles.  Under the new org structure, we expect to streamline our organization to leaner working models, focus on key projects and customers, and continue to invest in our growth drivers.  Deciding to reduce headcount is never an easy decision. We are parting ways with many talented and dedicated employees that helped build Lightspeed into the company it is today. But it was a necessary decision that strengthens our foundations for future growth.  In terms of Payments, as I mentioned, we had another strong quarter. Although our GPV still heavily depends on North America, we continue to see strong momentum in APAC and EMEA where payments was launched just over a year ago.  Before I discuss profitability, I want to touch on the current macroeconomic conditions and how Lightspeed is positioned. Given the macro uncertainty, our focus has turned to running the business with a greater focus on profitability. This includes focusing on attracting the right customers, those with over $500,000 in annualized GTV, and upselling our existing base, reducing operating expenses, and limiting marketing spend to areas with the highest returns.  I know that the macro environment is presenting challenges for our customers, but these conditions only highlight the need for complex SMBs to adopt technology. Lightspeed's cloud based platform can help SMBs better manage their inventory, operate with fewer employees, eliminate mundane tasks, deliver data driven insights and give managers and owners more time to dedicate to their customers.  Over the last few years, we have been building the most compelling offering for complex SMBs, and I've received very positive feedback from our customers. In my view, we have never had a stronger product market fit.  In addition, we have a more agile, cost effective and accountable organizational structure. With costs coming out and accountability increasing, I believe we will be in a better position to address the long term opportunity ahead of us.  And finally, we assembled an exceptionally strong management team with the right experience to take us forward. Through a combination of strong internally developed talent and the addition of experienced and distinguished external candidates, we have the right people in the right position to continue to build Lightspeed into the dominant platform for complex SMBs the world over. The macroeconomic conditions will likely present a challenge, but economic cycles come and go. I believe Lightspeed has never been better positioned.  Getting back to profitability. In the quarter, we delivered adjusted EBITDA loss ahead of our previously established outlook. And we took the hard, but necessary, decision to reduce our overall headcount and cost base. I believe we are on track to meet our commitment of adjusted EBITDA breakeven or better in fiscal 2024. I'm very proud of the company we are building.  Our mission of igniting businesses everywhere in the world is an important one. And our suite of competitive products means we have never been in a stronger position to deliver on this mission. But in the end, profitability is a vital part of building a successful business. And to that end, profitable growth will be the key driving force for the company for the foreseeable future.  And with that, I will hand the call over to Asha.
Asha Bakshani : Thanks, JP. And good morning, everyone. I will first provide an overview of our third quarter results, highlighting in particular our continued focus on operating discipline and profitable growth. Then I will discuss trends we are seeing across our global merchant base and finish with our outlook for the remainder of this fiscal year.  Before getting into our third quarter results, I'd like to remind everyone that this quarter's total growth represents organic growth, given that our latest acquisition was made at the very beginning of our third quarter in the prior fiscal year.  Now turning to the quarter, Lightspeed delivered another strong quarter with adjusted EBITDA loss ahead of our previously established outlook and revenue of $188.7 million, at the high end of our range, growing 24% from Q3 last year.  Subscription and transaction based organic revenue growth was 28% year-over-year on a constant currency basis. Recall that, in Q3 of last year, we received a one-time payment of $5.5 million from one of our payment partners, and in this quarter an additional $3 million from a different partner. When excluding the impact of these one-time catch-ups, subscription and transaction-based revenue grew 31% year-over-year, again, on a constant currency basis.  We exceeded our adjusted EBITDA loss outlook, with an adjusted EBITDA loss of $5.4 million, ahead of our previously established outlook of $9 million, our lowest quarterly adjusted EBITDA loss in over two years. As you've heard from us before, we continue to exercise prudence in our spend. The results of this is continuous improvement in operational efficiency, which has been driving better-than-expected EBITDA margin. We're happy with our progress here.  Turning more specifically to the market environment. We continue to see the impact of foreign exchange rate, inflation and shifting consumer spending on our merchants businesses.  I will walk you through some of the specific trends we're seeing across our customer base. Last year, we saw third quarter GTV grow 124% and 53% organically over the previous year, driven by back to physical shopping and dining in many of our regions. This year, our total GTV in Q3 was $22.4 billion, which grew 10% year-over-year or 17% on a constant currency basis.  Omnichannel retail GTV grew by 6% whereas hospitality GTV grew by 16%. In retail, we saw average GTV per location decline in several of our verticals, with bike shops, home improvement and pet stores being particularly weak as these categories spiked during COVID and are now coming back to more normal pre-pandemic levels.  Hospitality GTV growth was stronger year-over-year, given the impact of the COVID resurgences in the three-month period ended December 31, 2021, but declined from our previous quarter. Helping to offset this macro weakness is our ongoing rollout of Payments. We are fortunate to have a large customer base that remains underpenetrated with our payment solution. Our payments uptake has resulted in our gross payments volume, growing 75% year-over-year to $3.9 billion.  We launched Payments globally in our last fiscal year. And although still early in our rollout, gross payments volume coming from outside North America is up 44% from the prior quarter.  Turning to locations, we would like to remind everyone that Lightspeed remains focused on profitable growth. As you heard from JP, given the uncertain environment and the fact that we derive our highest ROI from upselling our base, our go-to-market focus has shifted to prioritizing high value GTV customers from a net new perspective and growing our ARPU within our base, primarily through attaching payments. The result is a quarter where overall net new location count was flat from last quarter, but with larger GTV locations growing within the overall mix.  Customers with annual GTV of $500,000 were up 15% year-over-year, and customers with under $200,000 in annualized GTV were our fastest declining cohort, down 4% year-over-year. I think it's worth repeating that not only do larger GTV customers tend to adopt more software and their payments potential is much greater, but they also exhibit less churn.  As I mentioned last quarter, customer locations with over $500,000 in annualized GTV represent less than 10% of the churn of our overall base. The higher overall ARPU and lower churn from these customers results in our highest LTV to CAC ratios coming from this customer base.  After excluding customer locations attributable to the Ecwid ecommerce standalone product, ARPU continues to trend in the right direction, with total ARPU of $348 increasing 20% year-over-year. The bulk of the ARPU increase came from increased Payments revenue.  The headwinds brought on by a strengthening US dollar relative to foreign currencies was most felt in our subscription revenue line, which was flat quarter-over-quarter and grew 13% from the third quarter last year on a constant currency basis.  Transaction-based gross margins improved over last quarter, thanks largely to the one-time catchup payment of $3 million from one of our payments partners, as well as to Lightspeed Capital.  Our merchant cash advance business is gaining traction with merchants globally, particularly in today's economy where traditional lending institutions are becoming more and more selective with lending smaller businesses. Our Lightspeed Capital revenue grew 26% from the last quarter and 221% from a year ago with our default ratios continuing to remain under 2%. Hardware gross margins continue to bring down overall gross margins as rising costs and supply chain issues continue to drive the cost of our hardware up.  We had a goodwill impairment charge in the quarter of $749 million. I'll walk you through the mechanics of this. Goodwill is required to be tested for impairment at least annually. Our annual test date is December 31. Given the decline in the valuations of technology companies broadly, and Lightspeed's share price specifically, our net assets exceeded our market cap at December 31, 2022. This was a goodwill impairment trigger for us. This goodwill charge is a non-cash accounting entry that does not reflect any current or future cash outlay for Lightspeed.  We're also prudently managing our share-based compensation expense, and have taken a number of actions to reduce it as a percentage of revenue. Our share-based compensation expense has declined as a percentage of revenue for every consecutive quarter this fiscal year, from 22% in Q1 to 18% in Q3, and with the impact of the recent restructuring, we expect this ratio to decline even further.  We ended the quarter with approximately $838 million in cash. Our cash decreased by approximately $24 million in the quarter. The largest uses of cash were working capital movement, including the growth of our merchant cash advance business, which we fund from our own cash balances today.  Now turning to our outlook. We expect consumer spending to remain challenged in the near term. And given that our transaction based revenues are now over half of our total revenues, weaker growth of GTV presents a headwind for us in the months ahead. We expect to remain vigilant on spend and to continue to focus on profitable growth.  For the full year fiscal 2023, Lightspeed now expects an adjusted EBITDA loss of approximately $37 million, improved from previously established outlook of approximately $40 million. The company now expects annual revenue to come in at the low end of the previously established outlook of $730 million to $740 million, or approximately $740 million to $750 million on a constant currency basis.  We remain committed to adjusted EBITDA breakeven or better in fiscal 2024.  With that, I'll hand it over to JP for closing remarks.
Jean Paul Chauvet : Thanks, Asha. Before we go into Q&A, I want to welcome a new member to our senior executive team. Kady Srinivasan. Kady is our new Chief Marketing Officer, and comes to us with over 15 years of experience leading marketing efforts at organizations such as Dropbox and Electronic Arts. I'm thrilled to have Kady on our team as we continue to focus on our core customers of complex SMBs, raise our brand awareness and improve our go-to-market momentum.  And with that, we will take your questions.
Operator: [Operator Instructions]. Your first question comes from the line of Dan Perlin with RBC. 
Daniel Perlin: I just had a couple of questions here. Specifically around subscription ARPU being flat over the past several quarters, you kind of touched on it a little bit. But I guess my question is, as you're making this pivot to, obviously, more profitable clients, I'm wondering what the pricing environment is around subscription and to what extent do you have to have discounts to incentivize certain merchants who want to take payments? 
Jean Paul Chauvet: I think the last phrase you said I think is very much in line, is what we look at is net take rate, which is net payments in that software. And on that front, what we try and do is bundle a package that is going to be just positive for Lightspeed. So when you look at the bigger customers, especially the higher GMV, if I attach payments to the software, you'll realize that the bulk of the revenue on a net take basis is software. So, again, what we try and do is we just try and ensure that we maximize our take rate from when we sell to customers.
Daniel Perlin: Just quickly on the EBITDA guidance for 2024, I looked back, it looks like you've tweaked the language a little bit. I think previously it was breakeven. Now it's breakeven or better. But you've got the $25 million now of incremental annualized savings from this workforce reduction. I'm just wondering, are you suggesting that maybe you're more concerned about the top line to just kind of stay in that breakeven or slightly better range or should we be thinking about that $25 million actually potentially falling through as we think about 2024 numbers. 
Asha Bakshani: The $25 million and the reorg, we had already contemplated that we would unlock operating efficiencies from the integration of our acquisitions when we committed to EBITDA breakeven next year. We do anticipate breakeven or better. We anticipate that that's going to happen somewhere in the mid-range of the year given that, in Q1, we have our in-person sales and partner and customer summit, which does drag down EBITDA. And as you know, Q4 is our seasonally weakest quarter. But we do expect adjusted EBITDA breakeven or better for the full year falling within those two quarters.
Operator: Your next question is from the line of Daniel Chan with TD Securities.
Daniel Chan: Thanks for all the color on the customer locations. Just hoping you can help me reconcile your comments regarding larger locations. But if we look at the ex Ecwid locations, those were flat quarter-over-quarter, and then the Ecwid locations actually grew by 1000 quarter-over-quarter. So just wondering if there's some strategic initiatives that still need to be rolled out or whether there was…
Gus Papageorgiou: Daniel, you cut off there at the end.
Daniel Chan: Just wondering if you can just help provide some color on why the Ecwid locations grew sequentially by 1,000 locations, whereas the non-Ecwid locations stayed flat sequentially, whereas you guys are targeting to lap your larger locations.
Jean Paul Chauvet: Again, when we look at Ecwid, Ecwid is part of Lightspeed omnichannel. And inside of the omnichannel strategy, we're going after bigger customers, and we're selling them, call it, a channel agnostic platform. So with that in mind, that has an impact when you upsell or you sell to existing customers, that omnichannel platform that creates new stores on Ecwid. So maybe that's one of the reasons. But I think, ultimately, we are focused on attracting the larger and more sophisticated, and that's going to continue, and that's going to be the focus for the company. And that really brings us to profitability. And that's really what's – the key message is profitable growth, as I said.
Daniel Chan: Is it fair to say that when you upsell a brick and mortar store to the omnichannel that one location gets counted for the brick and mortar store and then the other location gets counted for the Ecwid?
Jean Paul Chauvet: Yep, when we say stores, these are storefronts. Digitally, they're storefronts, and physically, they're storefronts.
Daniel Chan: Any update on getting restaurants traction in the US?
Jean Paul Chauvet: Look, I think, for the US, it's been very clear. We are going off to the more sophisticated segments, we're going off to the more established segment, we gave a few names here in our script. So again, we are going to be deploying marketing dollars and sales teams to ensure that we attract the customers in a profitable way. And so, we will not be going after the internal market, but after the more established. And on that front, we're happy with the progress.
Operator: Your next question is from line of Andrew Bauch with SMBC Nikko Securities.
Andrew Bauch: [Technical Difficulty].
Gus Papageorgiou: Andrew, we can't hear you very well. 
Andrew Bauch: Nice to see the location disclosures. Looking at the $500,000 [Technical Difficulty] are those numbers relatively consistent with what you guys have seen in prior quarters? Do you see any benefits from the shift away from the lower value merchants [Technical Difficulty] more centralized focus on that lead to better win rates [Technical Difficulty].
Jean Paul Chauvet: I think I understood, but we could barely hear. But I'm going to address the question. So we are focusing more and more on the $500,000 and plus and the $1 million and plus. We talked about this at the Investor Day. When you look at LTV over CAC and you look at profitable growth, you have to double down on that segment. So what we've been seeing this quarter, like all the other quarters, is a vast majority of our churn comes from customers that are under $200,000 of GMV. And what we're seeing here, especially with the economic headwinds or difficulties in the economy, the smaller ones are much more prone to churn than the larger customers. So I think, for us, this 15% and 19% growth is very much in line with what we've been seeing all year. And I think it's just a good reflection of our focus on that segment. So, again, yes, this is going to be more and more priority.  And I don't know if you remember, but even at the Investor Day, I said, if we have the same number of locations a few years from now, but all of these are within the right segments, Lightspeed will be in a really strong position. And, of course, those are the fastest growing cohorts for Lightspeed.
Andrew Bauch: I guess you touched on the One Lightspeed initiatives. Are we actually there yet with the final restructuring announcements you made two weeks ago? Or is that still [Technical Difficulty] in the months ahead and maybe any updates on the benefits you're anticipating to see from that?
Jean Paul Chauvet: The question I guess is, with regards to One Lightspeed, and are we on track, and we always said, as we hit the end of the fiscal year, the vast majority of our sales are going to be on the new platforms. We did the restructuring early January because that was the right time because we now have very strong confidence in the product going forward. We are in the final steps of this. We are slightly more advanced with retail than we are with hospitality. But there are still a few little tweaks to do, but we are very much very much on track with what we said.  With regards to the expectations here, we are going to see – well, we have seen leverage because now we restructured according to these two products, and we will continue to see leverage, it will just simplify the business everywhere. When you look at acquisition, when you look at onboarding of customers, support calls, it's going to just de facto become a much simpler business because we will be just selling one payment platform globally and one retail platform globally and one hospitality platform globally [indiscernible].
Operator: Your next question comes from the line of Andrew Jeffrey with Truist Securities.
Andrew Jeffrey: JP, I wonder if you could comment a little bit on sales cycle as you increase your focus, tighten the focus on bigger and more complex merchants and whether or not that's affecting payments attach? Or if the payments attach that kind of stalled out this quarter a little bit as a percent of total volume is more of a macro impact? And I've got a follow-up.
Jean Paul Chauvet: Sales cycles, we've always had well understood the sales cycles with the larger segments. We've been doing this forever. I think that's the real – when you look at the real value prop of Lightspeed, we really shine with the more sophisticated SMBs. And we know how to sell, we know how to onboard. So doesn't change much in our sequence on that front.  Second piece of the question, attach rates, we are seeing very good attach rates on new customers. And if you look – and I think what gets us excited is attach rates and new customers, even outside of the US, are very strong. So we're not having any difficulties on that front. And maybe just to address the last piece of the question, which is penetration, that is purely a factor of industries and GMV per merchant.
Andrew Jeffrey: As a follow-up, recognizing that nobody's macro crystal ball is particularly clear, it feels like perhaps we're coming to the end of this normalization period that has seen retail, especially in certain verticals, to which Lightspeed oversamples perhaps, get to a point of normalization and maybe start to bottom out, how do you think – I understand you're taking an appropriately conservative approach to guidance, but how do you feel about returning to a more normal sort of consumer spend environment where we could see more balanced growth across your two primary verticals?
Asha Bakshani: You're absolutely right. We are taking a conservative approach to guidance, especially given what we saw in the third quarter where you're seeing overall GMV pretty flat versus the quarter before. But we are in a position of strength in terms of focusing on profitable growth. And if and when the macro does turn around, to your point, we're in a position to take advantage of those growth opportunities as they arise.
Operator: Your next question is from Josh Beck with KeyBanc.
Josh Beck: I appreciate the disclosures on the locations by size. I'm just kind of wondering, if we play this forward a couple of years, more or less how much of a change you expect or potentially we could see in the locations with greater than $500k of GMV?
Jean Paul Chauvet: Look, again, just talking about a big theme here, the company is focusing on this. Just maybe two years ago, we would probably be much broader in our fishing net with marketing, we would be much broader with sales. And this has changed. So, right now, we are hyper focused when it comes to every function in the company even in our roadmaps to creating more and more value to that segment. That segment is really important to us. And I think it's very important to the SMB space because when you look even at the GMV, the total GMV, it's hyper concentrated into the more established. And so, because we are doing suppliers, we're doing payments, for us, it's just going to continue to be the focus as we go forward. And so, what we are hoping is that as we continue to focus on that segment, we will see the numbers in the segments that matter, do better for lightspeed.  I don't know how much more do you want that – again, what is really great for us, and when we look internally, is we are attracting more of the established, we're looking at churn, the churn is decreasing in that front when we look at payments attached. We're now focusing more and more – and even when we're looking at upselling the base, there's a lot of initiatives internally around getting the more established customers.  And I think, finally, what you can expect is with what we're doing with suppliers and verticalization here, you can expect us to see better attach rates as we go forward and better close rates because they'll be helped by the brands and suppliers within those industries to sell.  So, yeah, feeling good about the strategy and very happy with the results on that front and with the progress with more established merchants.
Josh Beck: Maybe just a related follow-up. So when you look at really the marketing and advertising budget, has it been fully recalibrated, which I imagine involves a shift from digital and performance more so towards outbound and field sales and that type of thing. Has it been fully recalibrated? Or is that something that we'll continue maybe to shift as we exit fiscal 2023 and go into fiscal 2024?
Jean Paul Chauvet: We are in the midst – we just hired a new CMO. And that is probably her number one focus today is to try and recalibrate. Even you'll see updates on the messaging. But I think just to be clear, more established SMB for Lightspeed doesn't mean field sales. The majority of our motion is still going to be in [Technical Difficulty] it's going to be marketing led and the majority of our deals are still going to be closed with Zoom and onboarded with zoom.  And I think that's what's very exciting to Lightspeed, is that even though these are much more established merchants and you look at the cohorts and they're much more profitable, the good news is the cost of acquisition is very similar. And most of it is done inbound and with a recipe that we understand very well.
Operator: Your next question is from line of Raimo Lenschow with Barclays.
Raimo Lenschow: Obviously, you can only control what you can control in this environment. But can you talk a little bit about the churn levels on the on the lower end? Is it just what we're seeing now? Is that just kind of – you'd be emphasizing it a little bit or do you see elevated churn coming from the recession already? And how do you see that playing out?
Jean Paul Chauvet: I think maybe just overall churn for the company is in line, and so there's no major changes there. But what we are continuing to see, and we started exposing this, is we are seeing very – much higher levels of churn in the lower end and under 200k. That's really – I think if I remember correctly, it was 84% of our churn coming from under $200,000. Whereas if you go up and as you go to the $500,000 plus and the $1 million plus, that's where your churn really becomes almost inexistent. And that's because there is no business failure.
Brandon Nussey: If I can just add on that. JP used the fishing net analogy. When that net isn't cast as wide to catch that cohort of customer quite as much as we're now focused less on, you're not replacing that cohort and that churn as much as we would have in the past. So you're seeing it come through a little more, if that makes sense.
Raimo Lenschow: Makes sense. And then one follow-up on. So, you adjusted the cost base. Now, you're adjusting your program? Like, , how long will it like? What do you anticipate in terms of the impact that will have on the organization in terms of people in the right positions, people in the organization settling down? Is that part of your thinking as well? And when do you think we're kind of done with that?
Jean Paul Chauvet: First of all, as you know, we did a big restructure. And the goal of this restructure was to really remove a lot of management, remove a lot of overhead, become much leaner, and also focusing on the right segment of customers. And so, there's a number of initiatives that we now narrow to – okay, now we know this is what we're going after, what are we doing that is not in this segment that makes no sense. What part of our org chart have people working on this segment that is not vital to us.  So I think highest level, we are going to be automating as much as possible for our existing smaller customers. And we're going to focus our people, focus our attention on the segments that matter for us.  So it is a journey. And we started the journey at the beginning of the year. We are now well progressed with this. But I think in my mind – and then that's the only way forward is to look at where is it profitable, and then you start digging there, and you remove the nice to have and you just focus on the must have, the real answer is there.  And so, just a simple example is, if I know that 50% of my customers are the more established, that means instead of having all my support agents just focus on every customer, I'm going to always privilege my highest GMV customers. When leads come in and they are under $200,000 and we know that, well, we will probably actually not even try to serve them and not onboard them. So I think we need to just remain hyper-focused.  And as I said, for me, the store counts are not the driver. The drivers is, for every dollar of marketing and every dollar of spend, what is my return? That's the only way forward. So, as we go forward, we're hoping to get better and better numbers in the more established and we're hoping that the entire company is just going to be focused on that.
Operator: Your next question is from Eugene Simuni with MoffettNathanson.
Eugene Simuni: Just wanted to come back to on macro headwinds for a minute. Can you elaborate a little bit on the sources of the headwind. I can think of kind of two types, right? One is a normalization, which I think was already mentioned. So kind of the bike shop example. And the other is more is more fundamental weakness in consumer spending that might be related to kind of recessionary environment. Can you elaborate a little bit? You think both of those or is it more one versus the other?
Asha Bakshani: It is really both of those. You're right about the COVID, the COVID normalization. But we're also seeing, with rising interest rates and inflation, just consumer spending is shifting, shifting to groceries, gasoline, things that are not in our core verticals. And in addition to that, we're also seeing some FX headwinds about almost half of our customer locations are outside the US. And so, that revenue is worth less in US dollars. And so, outside of what you mentioned, I would say those would be the other two headwinds that we're seeing.
Eugene Simuni: Related question, I wanted to ask about Lightspeed Capital, which you highlighted again, and sounds like doing very well. So, yeah, maybe you can elaborate a little bit on the traction you seeing there and also in the more challenging economic environment, obviously, a product like that could be a little trickier. So I would love to hear your philosophy on how are you managing that through that kind of potential recessionary risk?
Jean Paul Chauvet: Capital continues to go well. Revenue, I think, something better than 200% this quarter. Advances, we continue to make it available to a broader base of our customers. And that advanced volume has been increasing as well.  So far, so good on losses remaining minimal for us as well. So we're seeing great returns there. The benefit we have, of course, and the impact of the macro is not something we consider and we factor in. As we see all the trends on a daily basis from our customer base and that informs the offers we extend from the merchant cash advance, because we have that line of sight and that visibility into these trends, we can make what we think are pretty far and good decisions on who to advance to and how much.
Operator: Your next question is from the line of Thanos Moschopoulos with BMO Capital Markets.
Thanos Moschopoulos: With respect to becoming cash flow positive, perhaps as we think about timing, you said profitability should be middle of fiscal 2024. Just given the working capital dynamic, should we think about cash flow being positive maybe a couple quarters after or how should we think about that?
Asha Bakshani: For now, we're focused on adjusted EBITDA breakeven or better. We do manage our cash flows from operations very closely. But as Brandon just talked about, our merchant cash advance business is growing, and we are funding that from our own cash balances. And so, as we see that business growing, we should expect to see cash from ops out of line with our adjusted EBITDA. As that business grows larger and larger, we are considering putting that off our balance sheet, but in the interim, while it's on our balance sheet, we wouldn't expect cash from ops to be breakeven.
Thanos Moschopoulos: Any update in terms of monetizing the supplier network, such as with B2B payments? Will that be sort of the next focus now that you've launched the unified retail and hospitality platforms or how should we think about that?
Jean Paul Chauvet: Yeah, you're exactly right. So we are investing a lot in our B2B network. We do believe that's going to be the moat as we go forward, and going into the verticals, working with the suppliers, ensuring that suppliers get the sell through from the network. So that's a big piece of our strategy. But you're absolutely right. When you look at the sequences for us, the number one sequence was to get one product globally, which is Lightspeed Retail X-Series integrating all of the greatest of ecom and omnichannel workflows. And so, that now is out, or will be fully out by the end of this fiscal year.  Then the next step now, and we have a lot of initiatives, and we'll be announcing a lot on that front, we have now the B2B team working in conjunction with this launch to now create value for the suppliers. We have a number of beta customers on suppliers and everyday we're continuing to improve this. Next fiscal year, we'll be coming out with a lot of announcements on this and progress with suppliers within the industries that matter for us.
Operator: Your next question is from the line of Josh Baer with Morgan Stanley.
Josh Baer: I know that the inbound sales and virtual sales will remain the most important and dominant. I was wondering what the update is on the size and productivity of the outbound sales force. And I guess, more broadly, just the update on the go-to-market in US restaurants.
Jean Paul Chauvet: Maybe just again being clear, the outbound is well, we progress well, we've hired a lot of people. And we are tracking very carefully LTV over CAC. And here in our mind, we are going to use a lot of the outbound for the more established because that's where we can afford to have that sequence. And we're happy there with what we're doing. And I think as we go forward, especially in the context of payments, especially in the context of geographical areas where we have a lot of concentration, cities basically around the world, we will have teams that are going to be upselling customers on payments and installing customers with a pure outbound motion.  Now with regards to X-Series – sorry, K-Series and hospitality. We're very pleased with the progress. We've signed a few really good marquee customers in the US. And that motion is going well. And again, for us, just being very clear, we are optimizing every dollar we spend. And that's the theme. And so, again, being very focused on hospitality on the more established, those that really find the value – I think a lot of you have seen the progress we did on that product, it's absolutely outstanding, but it is very well suited for established merchants. And so, like all the other divisions at Lightspeed, coffee shops, small/medium/large coffees, quick serve is not what we're going to be focusing on. We're going to be focusing on fine dining, table service, Michelin stars, because those are high GMV customers and give us really good unit economics.
Josh Baer: On hardware, I know it's not a super important part of the financial statements, but the decline in hardware, was that also a function of discounting just related to payments attach and sort of how you think about everything altogether, or more reflective of new location additions or just a change in customer behavior?
Asha Bakshani: Yeah, you're absolutely right. It's really a result of the discounting, particularly in North America hospitality, where that's what the customer base has come to expect, given the competitive environment there. But as JP mentioned, we're laser focused on LTV to CAC and unit economics on a customer by customer basis. And these discounts are worth in the end for us because the LTV to CAC ratios of those customers, which as you know is the larger, more established, the LTV to CAC ratios are very high. And so, it makes sense for us, even though it requires discounting, that hits our P&L and immediately.
Operator: Your next question is from Clarke Jeffries with Piper Sandler.
Clarke Jeffries: First is, JP, what was the most meaningful change to you in the business environment since last quarter with all this discussion of the macro? I'm trying to get a sense of whether Q3 was really a continuation of the same trends we've been talking about for previous quarters or if there was really a change here that makes your view of the business environment worse or an improvement potentially? So I'd love to get your thoughts there.
Jean Paul Chauvet: Look, that's why in my mind, I distinguish what we can control versus what we can't control. And on what we can't control, the biggest driver – and I'm just going to try and give you a few numbers that are in my mind. Last year, if you look at GTV growth from Q1 to Q3, it was about 25%. And if you look at this year, GMV growth from Q1 to Q3 was zero. We were $22 billion, $22 billion, $22 billion. So I think just there, this is for me the biggest headwind that is not related to Lightspeed is just spending is not what it was. And so you compare to last year, 25% growth on two quarters versus this year flat, there's not much you can do against that. And so, I think, for me, the macro is confirming that our strategy is the right one, the strategy of profitable growth is the right one, the strategy on focusing on the larger customers is the right one because that's how we've been pairing well in a market that's been very difficult when you look at the consumer spend.  And I think that's why I look at the – it is a tough year for restauranters and retailers, no doubt, when you look at GMV globally. Yet, we can help them. And so that's why we're focusing on the higher GMV merchants and doing everything we can to help them automate and do more with less. I think that's the main answer.
Clarke Jeffries: Just a follow up, as we think through the implied guide for Q4, Asha, could you just help us think through the different offsets? I think you mentioned a catch up payment. There's a currency headwind here. And so, when you think about the items that would grow sequentially versus being flat and potentially offsets, that mean that the underlying growth may be up sequentially, but the reported number maybe still flat. Could you help us think through the factors there to consider?
Asha Bakshani: The one time, as you mentioned, is something that we saw in Q3. That was about a $3 million one-time catch-up from a payment processor, which we don't see in Q4. But I think what's also important to keep in mind is that Q4 is seasonally our weakest quarter. And even in years where there are no macro headwinds, we typically see about a 20% decline from Q3 to Q4 in overall GMV. And so, as we enter our seasonally slowest quarter of the year, that's what we're contemplating in terms of the Q4 guidance.  We expect FX to remain around the same in terms of Q3 levels. But I think it's really more the GMV decline and the one time, those are the two biggest items that we're expecting to affect the sequential Q3 to Q4 revenue.
Operator: Your next question is from the line of Richard Tse with National Bank Financial Markets.
Richard Tse: As you sort of move up market with these larger merchants, like how's the competitive environment changed with respect to how you sort of go after those markets?
Jean Paul Chauvet: I think that's the good news. And that's why store count is growing well. And as you go up, there's fewer competition. And I'm just going to give you a few examples here. If I'm a coffee shop, I have no real value in understanding Lightspeed's analytics that gives you a magic quadrant of your menu items. Yet, if I'm a Michelin Star, I see tons of value in this. If I'm a retailer and there's no value in our advanced analytics if you're only selling a couple of 100 SKUs, yet if I have 10,000 SKUs, that's where I see. So I think as we go up market, to simply answering the question, it is a much better landscape for us where we provide a ton of value to customers.
Richard Tse: In terms of capital allocation, clearly, you're focused on sort of efficiency here. You sort of look at the stock and you sort of look at your cash balance, it's just under $1 billion, would you ever sort of consider kind of a buyback program? It seems that as you get more efficient and you approach breakeven, that cash will get a bit of release. So what's your thinking on that, especially given where the stock – where it is today here?
Jean Paul Chauvet: It's something we continue to evaluate, the board of directors, obviously. We certainly still feel like we're early in the journey here. We've got a growing part of our business on the merchant cash advance program that we're leaning into, lots of growth opportunities, we still see, and hopefully, the macro environment will start to solidify at some point. These economic cycles do come and go. So, to date, we haven't concluded to do anything specific there. But we will continue to evaluate it. 
Operator: Your next question is from line of Koji Ikeda with Bank of America Securities.
Koji Ikeda: Wanted to ask a question on payment attach rates. Doing the math, it looks like it's about flat quarter-over-quarter. Is that right? And I guess kind of thinking forward, how should we be thinking about payment attach rates over the next several quarters in a presumably tougher macro environment?
Jean Paul Chauvet: Payment attach rates, when we speak to those, that means how many – what percentage of our new customers take payments alongside the software when they buy it. I think, based on your question, what you're probably referring to is how much of our GTV do we monetize through our GPV? And that continues to progress well for us. A lot goes into the equation when you divide those two numbers, a lot of mix things, both geographically and how specific verticals are performing at any given quarter. So you just have to be – there's a lot of variability that goes into that when you start to divide those two numbers.  Overall, what we focus on is our GPV and is it growing. And it's up 75% year-over-year which is good, steady progress from our standpoint, and we'll work hard to keep that going in the right direction.
Koji Ikeda: Just one follow-up here, if I may. When I look at the headcount reduction and the $25 million in annual savings, 300 people being affected, roughly shakes out to about $83,000 per employee. So with the prior commentary of 50% coming from managers of the headcount reduction, I was just looking for some more color maybe to reconcile the profile, the remaining 50%, what departments were affected there. 
Brandon Nussey: I'm going to paint the story, just so we can understand it. If I'm selling seven products across multiple regions and each of these products I'm selling have many layers, have contributors, have managers, and then at the top, I probably have somebody accountable for this globally. And so when you go from, call it, seven to two, which is what we're preparing to go for, as we go into the end of this fiscal year, you naturally just have layers of people in all groups that have been removed from the organization or replaced. And at the top, that means you need fewer leaders to run the business, and you have more accountability with fewer leaders and way less distortion in terms of focus points. So that's really what happened.  So I think just answering your question is, like, it is – yeah, unfortunately, contributors, managers, directors, VPs, Cs – so there's a just a simplification of the business that impacts pretty much everybody. But I think, for us, now that we are in a much leaner organization, we now need to double down on hiring more sales people, on hiring more onboarders and hiring more support people in the right divisions in the right geographies. And so, that's what we're doing now, is we're – between now and, call it, the end of Q1 next year, we're building our go-to-market engine. We're building all the functions to double down on what matters now for Lightspeed.
Operator: Your next question is from the line of Tim Chiodo with Credit Suisse. 
Timothy Chiodo: I know we touched on this a little bit, but it is a really important idiosyncratic driver for the company, that payments penetration, but specific to the attach, meaning for new customers. So I know that we talked about this a little earlier in terms of some of the promotions that you've been doing, I believe those started two or three quarters ago. Could you just talk about what that has done to the payments attach? In other words, how much success it has driven? Meaning if the new customer attach for payments used to be X percent, how many points higher has it been as a result of these promotions? Do you can expect to continue to offer these given maybe some success that you've seen or have not seen?
Jean Paul Chauvet: I think there's two things in my mind when you look at these promotions. They have two objectives. The first objective was to attach more new customers to Payments. And the second objective was to reduce time to transact because you understand that the new economics for us is – or previously, when it was just software, I sign a customer, I started recognizing revenues. Now what happens is, I sign a customer, I get the revenues on software, but I don't get the kick in on payments before they are transactional. And so here, a lot of those promotions were really related to getting the customers transactional. So if I tell the customer within their first three months, you're getting a better rate, that's going to give them an incentive to get the payment terminal up and running, plugged in, et cetera, as quickly as possible, which in returns for Lightspeed will give us a faster revenue recognition on – and so that will decrease greatly your payback.  So, on that front, maybe just again, looking at the two blocks, they've had a really good impact. And that's why I think, for us, especially in markets outside of the US that are much more conservative in terms of adopting payments, we were very happy because these promotions have created attach rates for Lightspeed everywhere in the world, from Australia, to Europe, to any country in Europe to the US, where we have very strong attach rates on new customers.  And that's why, for me, when I look at it medium term and you look at how churn works in our cohorts, just assuring that you have the majority of your new customers that are buying payments, means that, over time, you're going to end up with 50% of your – at least 50% of your GMV that is on Lightspeed Payments – your GPV, sorry. And so, that's why we're very happy with both.  And the promotions really had a very strong impact on time to transact. And actually, this is still the number one focus in the company, is removing the backlog between when someone signs and someone becomes transactional. And I think they're – going back to the first question we had on the call, we will be probably also for the larger customers doubling down with people with foot on ground that are actually going to physically go in and plug the terminal in because it is a world where our customers have a number of priorities and you've got to get them to plug in the terminal, make it work, et cetera. And so, we're doing everything we can to reduce time to transact. 
Timothy Chiodo: That's really helpful on the time to transact. The follow-up is around payments penetration. You mentioned earlier that some of the sort of flat quarter-over-quarter and part of that was just related to the verticals that might have higher or lower payments penetration. Maybe you could just recap what those verticals were in the calendar Q4 and how that might change over the coming quarters. Clearly, golf is one, right, that's more seasonal, but also, correct me if I'm wrong, but US retail was one of the earlier parts of the business to get Lightspeed Payments and I would have expected the Q4 US retail to have stronger volumes just due to holiday season, et cetera. But maybe just recap some of those various industries that are higher and lower and how that will look over the coming quarters.
Brandon Nussey: It just comes back to the messages we've kind of outlined earlier. We're well penetrated in some of our strongest verticals, like bike shops and sporting goods stores and things of that nature. And you're absolutely right that, typically, during the holiday season, we see a nice bump there. As you heard from Asha earlier and JP earlier as well, this holiday season for those verticals, due to, A, normalization off of COVID and, B, weaker consumer spending just didn't have the bump that we will typically see. And that just all contributes to that mix thing when you're doing that math, Tim, of dividing GPV into GTV. So that's the macro again. As JP said, we focus on what we can control and unfortunately consumer spending isn't one of them right now.
Timothy Chiodo: So if I heard that right, it's more or less – yes, calendar Q4 actually would have a better mix of payments penetration, but it was more just that those verticals with the higher penetration maybe were a little bit macro impacted and that left us with the overall number in that 17% range. 
Brandon Nussey: You got it. Yeah. 
Operator: I will now turn the call back to Mr. Gus Papageorgiou for closing remarks. 
Gus Papageorgiou: Thank you, Brian. Okay, thanks, everybody, for joining us today. We will speak to you all again after we release our Q4 results. And have a great day.
Operator: Ladies and gentlemen, thank you for participating. This concludes today's conference call. You may now disconnect.